Operator: Good afternoon. My name is Shenal and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Corporation Q4 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions) I would now like to turn the conference to William Weidner, President and COO. Please go ahead sir.
William Weidner: Good afternoon everyone and thank you for joining us today. On the call with me today will be Sheldon Adelson, our Chairman who will be joining us by telephone conference. Brad Stone, President of Global Operations and Construction, who has joined us by teleconference in Macao. And on the teleconference with Brad are Stephen Weaver, our President of Asia, Leonard DeAngelo, our Senior Vice President of Operations for Asia. Mathew Prior, our Senior VP of Construction and Development, and Ben Toh [ph] our Senior VP of Finance in Macao. Here with me on Las Vegas are Rob Goldstein, President of Venetian and the Palazzo. Ken Kay our Chief Financial Officer. Al Gonzalez our Senior VP and General Counsel. Scott Henry our Senior VP of Finance. And Daniel Briggs, our Vice President Investor Relations. Before I begin I need to remind you that today’s conference call contains forward-looking statements that we are making under the safe harbor provisions of federal securities law. I would also like to caution you that the company’s actual results could differ materially from the anticipated results in those forward-looking statements. Please see today’s press release under the caption forward-looking statements for a discussion of risks that may affect our results. In addition, we may discuss adjusted EDITDA, adjusted net income, adjusted EPS, and adjusted property EBITDAR, which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded. By now over the last few moments you should have all received our press release detailing our financial results for the fourth quarter of 2008. Our agenda for today’s call is as follows. First, I will give an overview of our business and the plan we outlined in our third quarter call. I will then turn the call over Rob Goldstein and to Brad Stone to talk about our fourth quarter operating performance in Las Vegas and Macao respectively. Including the cost reduction measures we have implemented throughout the organization in an effort to increase the efficiency and reduce our operating expenses during this period challenging operational conditions. From there Brad and Mathew Prior will discuss our developments in Singapore and Bethlehem, Pennsylvania as these properties move for their respective opening about four months from now in the case of Sands Bethlehem and less than a year from now for Marina Bay Sands. Stephen Weaver will then provide an update on our Macao asset sales processes, The Four Seasons apartment hotel, and our Macao retail malls. I will also then make some closing remarks before moving on to your questions. I don’t need to remind you of the significant uncertainty in the markets and the economy are currently experiencing. The good news is that despite the current economic uncertainty people are continuing to visit our properties in both Las Vegas and Macao in great numbers. We are generating significant cash flow from our properties. The bad news is that people in both of those markets are clearly spending less once they arrive. Although we cannot control consumer confidence or know when the market conditions will improve, but what we can and will do is control our cost structure and focus all of our collective efforts and the disciplined execution of the business plan we introduced in November. Our plan has three basic components, where are objectives in those plans are to first maximize cash flow from our current operating properties in Las Vegas and Macao. Second, to deliver our two ongoing developments, Marina Bay Sands in Singapore, and Sands Bethlehem in Bethlehem, Pennsylvania, on-time and on-budget. And third, to generate liquidity to the sale of non-core assets. We have made progress on each of these components of our plans since its adoption. We are focused on executing it in spite of the challenging economic conditions in which we all operate. With respect to the first component of our plan, maximizing cash flow from current operations, we have identified and are implementing over $250 million of run rate cost savings across our company, significantly reducing the revenue risk in our plan. Our ability to control our cost across the entire organization is a critical component of our plan and we will continue to seek opportunities to run our business more efficiently in today’s environment. These cost controlled measures will be accomplished in a disciplined fashion when it maintains the customer experience for our guests. While cost management discipline is our principal tool of maximizing cash flow in today’s environment. We will also continue to invest in targeted opportunities to increase our cash flow where those opportunities exist in our businesses. For example, in our mass gaming and slot business and related CotaiJet Ferry Service in Macao. Turning to the second component of our plan the delivery of Singapore and Bethlehem developments on-time and on-budget, we are making steady progress and both developments are tracking according to plan. In Singapore, we continue to target late ’09 for opening of the Marina Bay Sands and are working with the Singapore tourism board to finalize our opening schedule. At Sands Bethlehem our development is progressing steadily toward a plant opening less than four months from today. We would hear some greater detail on our Singapore and Bethlehem developments from Brad and Mathew in a few moments. Finally, with respect to the third component of our plan, the sale of non-core assets, we are simultaneously moving forward with formal monetization processes for both The Four Seasons of par hotel Macao and our retail malls. The Grand Canal Shoppes and the Shoppes at Four Seasons in Macao. While we realize the market conditions for the sale of these assets are clearly less than ideal, the monetization of these assets are an important component of our plan. We will continue to pursue them in a disciplined fashion. Asset sales will allow us to reduce debt in Macao and to delever the company. Stephen Weaver, who is heading up the monetization process in Macao will provide a detailed update later in the call. Moving now to our fourth quarter operating results, I will give a brief overview and than turn it over to Rob to provide some color and perspective on our Las Vegas operation, and than on to Brad and his team to discuss our Macao operations. Overall, our properties continue to generate significant cash flow. People are continuing to visit our properties in great numbers, but are spending less per visit then they have historically. Now the implementation of our cost savings program and all of our properties is a crucial lever. We are utilizing to generate cash in this environment. We believe that both the quality of our assets and the differentiation of our operating strategies particularly our refocus on group business in Las Vegas at the mass gaming and non-gaming market segments in Macao will be important factors as we manage our business through these tough economic conditions. With that introduction, I will now turn the call over to Rob to discuss the Las Vegas operations and give us some more detail. Rob?
Rob Goldstein: Thanks Bill. Thank you very much. Despite the challenging environment in Las Vegas you referenced in your opening remarks, our Las Vegas operations delivered adjusted property EDITDAR $89.6 million in the fourth quarter. Last year in the fourth quarter we generated approximately $106 million in adjusted property EBITIDAR for the result last year affected table game hold of approximately 24.1% versus 19.9% in fourth quarter of 2008. Visitation of both properties remains healthy while occupancy across two properties is greater than 93% with the Palazzo Las Vegas reaching occupancy level of 96% and fourth quarter ADR of $217. The Palazzo, which just completed its one year anniversary of continued ramp has been very well received. The ADR in occupancy and healthy gaming volumes reflect is growing appeal. While we’ve enjoyed solid visitation in healthy hotel occupancies in both hotels, this demanding economic environment has resulted in decreases both ADR and revenue per visitor. Our strategy to maximize cash flow environment is to maintain higher levels of occupancy at both hotels, expand our room block for gaming customers, pursue additional group business in segments, and less impacted by this softening economy, and to aggressively manage our cost structure. Let me spend a moment on the group business. We have traditionally benefited from the strong foundation of financial group business, which has enabled us to enjoy higher midweek ADRs and benefited strong and profitable group related revenues. While we are not expecting group business to be as strong as it has been in the past. We do believe our group business pays some of insights such in the difficult conditions in other segments. We have more groups booked for the first quarter of ’09 than we had for the last year’s first-quarter for example. So this segment – while this segment faces challenges that are very much alive remains a critical component of our business strategy. We have been impacted by the recent headlines related to talk and the national headlines regarding Las Vegas business travel, hopefully inherent value in Las Vegas pricing, diversity of product, terrific access will prevail and enable Las Vegas to maintain its preeminent position as the leader in the group business, we are very confident that it will return to where it should be which is a value proposition, as well as a wonderful place to visit. Most groups that will cancel at 2009 have already done so. The cancellations we had experienced create opportunities for us however to target small groups that would not have been able to accommodate in the past, including groups we have not had the Las Vegas considered options for their events. In general larger groups that we are booking business today are booking further out in 2010, 2011. So, we are working to proactively sell any holes we have in ’09 with small groups and groups that are shorter booking window in a slower economy. Fourth quarter gaming volumes across our Las Vegas properties in Venetian Palazzo where up across the board. We have the best table game player in our history with $504 million of table game drop and we had $957 million handle in our stock machine. Each of those numbers reflects our larger asset base in Las Vegas. Table game business has held up well despite this economic environment and in January witnessed the encouraging trends especially in the Palazzo’s high-end amenities and luxury features together with the Venetian’s royal customer base, which proves a solid Chinese New Year’s performance with a very healthy gaming volumes. Our slot business in the fourth quarter of ‘08 experienced a 33% growth compared to the prior year and showed an upward trend about 2008, as we utilized our larger room inventory to target gaming customers segments, who have a validated propensity to gamble. Despite these positive trends in our business, we are every mindful of the challenging operating environment, which we live. In November, we announced our plans reduced our cost structure and since that time we recognized our program Las Vegas has records of $125 million in annualized cost savings. We will however continue to seek additional opportunities on cost cutting. Some of the most important initiatives, which we have created thus far, include labor efficiencies, which included almost 14.3% pay roll reduction. Reductions in marketing and advertising spend and implementation of a more streamlined procurement process. Our objective is to pursue these initiatives, while maintaining the overall qualities of the guest springs we provide our customers. So, in summary people are continuing our Las Vegas properties Venetian Palazzo for both business and leisure purposes. They are spending less per visit. We believe that our assets base with its luxury and approachable appeal offers a range of price points that appeal to both a broad strip of visitor budgets, as uniquely positioned to perform with resilience in the current economic environment. With that I will had it back to Bill, look forward to addressing your questions at the completion of the prepared remarks.
William Weidner: Thank you, Rob. I think what we can do now is turn directly to Brad Stone who is joining us from Macao, to discuss Macao operations themselves. Brad?
Brad Stone: Thank you, Bill. Let’s start with the Venetian Macao, which generated a $112.8 million of adjusted property EBIDTAR for the fourth quarter of ’08. Visitation of property have been strong with Venetian Macao enjoying its greatest visitation on record with over 6.7 million people visiting the property during the fourth quarter. That visitation drove a healthy mass play in occupancy, as well as record slot play and hotel revenues during that quarter. Our ferry service also carried more passengers in the fourth quarter than any previous quarter and again increased market shares of customers traveling from Hong Kong to Macao. Our convention and group business expanded from seasonally stronger fourth quarter period and accounted for over 100,000 visitors approximately 17% of the room they had sold. All these accomplishments occurred despite the visa restrictions, which are currently in place in the market and have limited to number of visits to Macao for Chinese citizen residing in certain market areas within the mainland China, including Macao’s neighboring Guangdong province. The three prolonged operating strategy for Venetian Macao that we implemented in 2008 will continue throughout 2009. The first initiative we talked about was to manage our VIP business. We expect Macao’s market, the overall VIP volumes to decline in 2009 after the unsustainable growth the market experienced in 2008. The Macao market is increasing competitive commission structure significantly reduced the profitability of this business for gaming concessionaires throughout the year of 2008. For the VIPs in the key business remains a contributor to our adjusted property EBITDAR, it is important to recognize that contributed only around 15% of adjusted property EBITDAR for the Venetian Macao in the fourth quarter. Given that back drop our principal objectives of this business are carefully managing the business and control that credit risk while developing more profitable direct play particularly from markets outside mainland China including Japan, Korea, Indonesia, Taiwan, and Singapore. During the fourth quarter our directed VIP play at the Venetian Macao grew 16.7% of our total rolling volume compared to just 6.9% in the fourth quarter of last year and 14.9% in the previous third quarter of this year. We have achieved this increase in direct play while maintaining our prudent approach of bringing credit to our VIP customer market. While this is a promising development and an increasing amount of rolling play related to cash flow contribution that EBITDAR margins are coming though direct relationship with customers throughout Asia and will be continue to be conserved and improved in the extension of credit particularly in this current economic environment. Rolling volume of Venetian during fourth quarter was $8.5 billion reflecting a generally softer environment for VIP play. As I mentioned the contributions in EBITDAR from the rolling volume was approximately 15% of the Venetian Macao’s EBITDAR of $113 million during the fourth quarter. That’s down from approximately 32% during the fourth quarter of 2007 when they made $118 million on EBITDAR. So, our ability to generate roughly a consistent level of EBITDAR on far or less rolling volume illustrates the increasingly diversified nature of our cash flows. Around 40% from non-gaming sources approximately 45% coming from non-table game business and slot business in the fourth quarter of ’08. The second initiative we talked about is regarding our mass and slot and business. Our CotaiJet ferry service is a key tool to support visitation to the property and direct correlation between increasing visitation and increasing slot plays and important development in the Macao markets maturation has integrated resource destination. The promotional offerings of CotaiJet, which were originally designed to build the awareness of the service are increasingly being targeted to casino customers. The service continues to drive traffic to the property. After increasing our frequency in sailing in July CotaiJet has grown its share ferry passengers arriving in Macao from Hong Kong to greater than 30%. To put that in perspective of the 2.5 million ferry visitors who have traveled from Hong Kong to Macao in fourth quarter in ’08 approximately 770,000 of these visitors arrived in Macao to put the Cotai Strip. That increased approximately arrival [ph] to the Venetian Macao and a Cotai Strip is one of the important contributors to our record slot play for the quarter, which was up over 55% when compared to the fourth quarter of 2007. The third initiative we talk about is to control that cost structure. Bill mentioned in his remarks that our programs are to target about a $125 million in annual savings across our Macao operations. This program is designed to reduce our operating like cost while preserving as many Macanese jobs as possible and maintaining a world-class customer experience for our guest. With our developments on five and six temporarily suspended, we are aligning or headcount with the current rather than the future needs of our business. In January, we reduced the normal work hours for dealer in Macao from 48 hours to 40 hours. This change allowed us to save approximately a 1,000 Macanese jobs, while at the same time reducing our headcount by about a 1,000 FTEs or roughly our payroll cost by 13%. In addition we reduced our overall headcount of Venetian and Sands by approximately 1,800 employees year-over-year through a combination of let offs, attritions, and transfers to the newly opened Four Seasons property. Other cost reductions include transportation programs, utilities, general operating costs, and many other combinations of initiatives. So, we think those three strategies controlling and managing the VIP business, growing the mass and slot business and petroleum cost contributed to the solid performance within reach in Macao during this quarter. Let me spend a moment on our other Cotai Strip property, The Four Seasons. This property generated approximately $5 million in adjusted property EBITDAR during the fourth quarter. We have clearly experienced a slow ramp of the property that we have liked. The property has however experienced a steady increase both in visitation and mass play in each month such as opening and awareness of the property is growing. The Four Seasons hotel has maintained a very healthy ADR of $332 during the fourth quarter. And Four Seasons management has now begun to promote the property to increase occupancy with various bundle packages as that includes spot treatments special events including entertainment packages featuring performance that surf this delay in events in our Cotai arena. In April, we opened two floors of VIP gaming and premiere on 29 pie dimensions. These exclusive suites are among the most luxurious in our portfolio and will have their own private gaming tables and will be marketed directly to VIP customers residing throughout the region. Simultaneous to (inaudible) sweet launch we will be formally branding the entire casino and will launch our research tested marketing campaign to introduce the completed property to have segmented the market we believe has underserved in the Macao market today. Design occupy a market niche to distinct from either rather of a Venetian Macao with Sands, we expect the Four Season Macao will revolve until ultra luxury destination for Asia’s aspiring wealthy NLE [ph] and appeal to a customer that prefers a destination where junk of play is not the center piece of the experience. We expect our market offering to appeal to not only residents of Hong Kong and Guangdong province, but the wealthy residence and major metropolitan areas throughout Asia, which plan a specifically target potential customers residing in Tokyo Osaka Taipei Shanghai Beijing Bangkok, Jakarta, Kuala Lumpur, and Singapore among many other seasons mainly in China and again throughout Asia. Let me spend a moment of the Sands Macao. The Sands delivered $52.3 million in adjusted property EBITDAR for the fourth quarter and rolling volume of $6.1 billion with up 4% compared to the quarter one year ago, while mass drop was down. The Sands does still however remain a leader in mass plan – Macao peninsula recording $593 million of mass drop during the quarter. Additional cost savings initiatives will further improve the Sands cost structure and we believe we can increase the properties cast flow generation capabilities as additional cost savings programs are executed. So, to summarize our Macao operations overall, we continue to focus on the three objectives of managing the VIP business to minimize risk and go direct VIP plan focus on utilizing our CotaiJet ferry service to drive mass and slot play particular at our CotaiJet Strip properties, and they continue to control our cost structure across the entire portfolios of properties here in Macao. I would also like to mention that we have attracted some key management talents to our operations in Macao with Len DeAngelo here with me today, assuming the role of Senior Vice President of Operations for Asia. Len has over 30 years of gaming industry experience including direct experience in managing multiple gaming properties and marketing to Asian-based customers. Len will be working closely with me as we manage our cost structures and enhance our cash flows here in Macao Let me turn to my other part of my job, the development and spend a moment or two on the ongoing developments of projects the Sands Bethlehem in Bethlehem Pennsylvania and Marina Bay Sands in Singapore. As bill mentioned previously on both of these projects our plan is to market these and open these on-time and on-budget as a clean component to our overall business plan as presented in November and we are firmly dedicated to the objective. Sands Bethlehem is targeted to open in late May or early June and our construction pre-open activities are accelerating to prepare that property for opening. We are actually beginning to install slots next week in the casino floor and are planning marketing activities to commemorate the opening in lat May. In Singapore Marina Bay Sands is clearly a challenging developed with Design elements that increase the complexity of the construction process there. Today we have completed more than 40% of the construction and greater than 90% of the construction costs have been contracted and are subject to firm pricing. Naturally a project of this scope and scale with some degree of uncertainly tie to level of complexity, but this time we remain comfortable with both the construction budget and timeline. We continue to redefine and refine our pre-opening and FF&E budgets, which represent less than 10% of the total cost of our development. We are cooperatively working with the Singapore tourism board towards a targeted opening in the December ’09, January 10 time frame. That’s basically the story on both developments. But Mathew Prior our Senior VP of construction here and I are both here on the teleconference on Macao, as we please letting answer any questions you may have about the construction process and opening timelines during the Q&A session. With that let me turn the floor over to Stephen Weaver our President of Asia, who is also here with me today on Macao to give you an update on our ongoing asset sales processes here in Macao. Stephen?
Stephen Weaver: Thanks Brad. As Bill mentioned at the outset, the successful monetization of non-core assets is the third component of our business plan. We know that success of these efforts is an important driver of liquidity and will enable us to execute on our deleveraging strategy. To that end we will shortly be marketing shares in a cooperative structure that will provide the holders of the shares the exclusive use of a unit in The Four Seasons apartment hotel in Macao. In addition we are presenting our two retail malls in Macao to prospective buyers. The Four Season share sides will be accomplished under the co-op structure we have previously announced and our ability to utilize this method has been resolved in principle. We expect in due course to receive any required further commission or approvals from the Macao government to proceed with the sale of shares. In terms of construction, The Four Seasons apartment tariffs will be completed in the third quarter of 2009 and I am pleased to report that the recent five on the construction side as you may seen reported in the press was small and well contained that no serious injuries occurred as a result of them and that the incidence did not materially impact our construction schedule. While it is clear that residential property process in the region have been negatively impacted by the weakness in the global economy. Our discussions with interested parties, particularly investors we have targeted from Japan and Korea have continued. What we have on offer is clearly unique. A one of a kind opportunity to own shares in an entity that will provide the holder of the shares to the exclusive right to the use of a Four Seasons apartment hotel unit on the Colti Strip. We are now beginning the process of converting expressions of interest to definitive share purchase agreements, which will require 10% of the price of the shares of the non-refundable deposit. Based on our feedback today it appears the terms of the share purchase contracts have been accepted in principle. While we are certainly encouraged by the continuing interest from high network buyers the real test will come over the next couple of months, as these players received definitive share purchase agreements. With respect to the monetization of our retail assets, the Grand Canal Shoppes at The Venetian Macao and the Shoppes at Four Seasons Macao, we've been pleased with a genuine interest from a number of series potential buyers. Even in the current economic climate, these buyers understand the value inherent in these types of assets. Well-capitalized companies that possess the financial strength and liquidity to complete strategic acquisitions recognize that these assets present a unique opportunity to gain retail exposure to a growth oriented destination with significant upside potential. Additionally, the opportunity to purchase assets of this type in Asia is exceedingly great. As (inaudible) more developers typically develop retail properties and prepayment for their own portfolios. We expect to benefit from the simple fact that premium malls in Asia are tightly held and rarely offered for sale. We expect to receive initial proposals from prospective buyers in the March to April timeframe. With that I will hand the call back to Bill.
William Weidner: Thank you, Stephen. Back here in Las Vegas we have attracted additional key management talent to our Corporate Office. Joining us on the call as I mentioned earlier this afternoon are our new CFO Ken Kay and our new General Counsel Al Gonzalez. Ken processes greater than 30-years of professional experience including having served as CFO in a number of Fortune 500 organization. Al Gonzalez traditionally brings more than 30 years of professional experience to Las Vegas Sands including General Counsel for Fortune 500 organizations. We look forward to their contribution. The next contribution certain is that from Kenneth Kay and he will be providing you with an update to our liquidity and capital resources. Ken?
Kenneth Kay: Thanks Bill. As of December 31, 2008, we had approximately $3.2 billion of cash and cash equivalents on the balance sheet. In addition, we had approximately $1.9 billion of availability of under our un-drawn credit facility at current exchange rates, principally through our Singapore credit facility. So, together we have approximately $5.1 billion of cash, cash equivalents and sources of liquidity. The uses for that $5.1 billion include approximately $2.5 billion of capital expenditures, pre-opening, and FF&E cost. So the projected opening dates of our Marina Bay Sands, Sands Bethlehem and Four Seasons Macao project and approximately $600 million for the suspension of sites 5 and 6 and the St. Regis condo tower. Total debt is $10.5 billion of which no significant maturities occur until May 2011 when approximately $700 million related to our Macao revolver comes due and then in May 2012 when our US revolver is due. In addition to not having near-term maturities on our outstanding debt the cost of borrowing is quite low with a current weighted average rate of approximately 3%, which reflects a healthy reduction from the weighted average annual rate of 6.1% and 7.5% in 2008 and 2007 respectively. So, it is important not to lose site of the advantages inherent in our debt. It is long dated and very narrow spreads and provides a flexibility to allocate cash to our various developments. With that I will turn the call back over to Bill.
William Weidner: Before we go to Q&A let me sum up and reiterate a couple of important points. We are singularly focused on successful execution of our business plan. That plan is fairly straight-forward. Our objectives include maximizing cash flow from current operations, delivering Bethlehem and Singapore on-time and on-budget and generating liquidity to the monetization of our non-core assets. While we cannot control the economic environment, we certainly can control our costs. Although the environment is difficult in both of our markets, we are generating significant cash flow from our properties. We also enjoy the competitive advantage of having both very high quality assets and differentiated operating strategies in both of our marketplace. Our assets have broad appeal across customer segments and now are refocused on the group business in Las Vegas and on the mass business in Macao live us less vulnerable to the weaknesses in the markets than many of our competitors. And as the economic and operating forms continue to weaken, we will seek to further reduce our cost and to implement additional contingency plans. We’re realistic about how difficult the coming year maybe that our management teams remains focus on a successful execution of our plans. And we are focused and dedicated to managing through these challenging economic conditions and on successfully de-levering to preserve the long-term value inherent and act on the successful execution of that plan. And with that, I will now open the conference call to your questions.
Operator: (Operator instructions) Your first question is from the line of Joe Gross with Wachovia.
Joe Gross – JP Morgan: It’s close. This is Joe Gross from JP Morgan. Hey guys.
Brad Stone: Okay so you exchanged jobs.
Joe Gross – JP Morgan: Hopefully, not again. Rob, you mentioned that the group nights for the first quarter look pretty good in Las Vegas. Can you go beyond the first quarter? How does the second, third, fourth quarter look?
Rob Goldstein: The first quarter looks pretty good year-on-year. Obviously, the economy has affected us. The most recent national headlines hasn’t helped, and we still see our group business to be a strong part overall – reports probably affected it but it’s not as – year-on-year will decline versus 2008 in the second and third quarter. I can’t speak the fourth quarter yet, hoping it will rebound. Second and third quarters are going to be more challenging than the first quarter was.
Joe Gross – JP Morgan: Okay. And then, Brad, you talked about Singapore clearly challenging. With different design elements, what is the most recent construction cost, all-in cost for Singapore?
Brad Stone: The construction cost is consists of what we’ve announced previously and it’s –
Stephen Weaver: $3.5 billion.
Brad Stone: $3.5 billion, of course, we actually paid for the job in Singapore dollars, so it moves around in terms of the Singapore dollars on exchange rates. But it’s consistent with what we’ve been saying all along. Matthew has done an excellent job in his team. And in terms of keeping that thing under control, and we have ebbs and flows. Some things come in, significantly under, and some are all right. The good news, I think, for us going forward is even what remains of that bit out, and Matthew you can comment on this as well, is stuff that is not commodity-based so you don’t have the commodity risk, and it’s also finishes in things like many contracts you can form. There are very few people who can build those towers. Probably, only two contractors in the world. So, if you have a limited marker, going forward, those things, which remain to be bit out are very broad in terms of markets that we can go to in terms of contractors.
Stephen Weaver: Yes, I mean, there’s a lot of fitting out. Obviously, a lot more – go to a lot of packages to buy out or fitting out. And there’s a lot of competition in those packages in the market. We’re seeing very competitive returns on bids to those packages.
Joe Gross – JP Morgan: Okay. And touching on your asset monetization strategy, can you talk about your desire, your willingness, and any discussions that you may have had in terms of looking to monetize sites five and six?
William Weidner: We haven’t really evaluated or thrown that into the basket of things to sell. Those are core assets. Ad we develop them, the non-core portions of those as it relates to mall, for example, and/or any kind of idioms [ph] would be spun off. That was the original plan. But right now, five and six remain as a stored value, I guess, you would say. And as markets recover, we look to then restart those operations. At a later date, we would then look to spin-off those non-core assets for our plan. But I would refocus, again, on the fact that ’09 is our focus, and that is our horizon, and ’09 is extraordinarily key. And so, we remain laser focused on ’09 and in the opening of Singapore. And that’s the – if five and six are something that is to say, it represents stored value down the line.
Joe Gross – JP Morgan: Great, thank you.
Operator: Your next question is from the line of Celeste Brown with Morgan Stanley.
Celeste Brown – Morgan Stanley: Hi, guys. Good afternoon. First, could you tell us what your calculation is on your debt to EBITDA in both Vegas and Macao and the current covenant test for both credit?
William Weidner: One second.
Brad Stone: Do you want at the end of the year?
Celeste Brown – Morgan Stanley: Yes.
Rob Goldstein: At year-end ‘08, right?
Celeste Brown – Morgan Stanley: Yes.
Brad Stone: Well, the covenant is around 7.5; for privates were about 6.9.
Celeste Brown – Morgan Stanley: In Las Vegas?
Brad Stone: Yes.
Celeste Brown – Morgan Stanley: The covenant is 7.5 and you said you had 6.9?
Brad Stone: Ben? Ben has the number here in Macao.
Ben Toh: Yes. For Macao, based on the loan percentage is 4.5 and we are chipping around 4.
Celeste Brown – Morgan Stanley: Okay. And then, also a question relating to Macao, did you take any reserves for bad debt in the quarter?
Kenneth Kay: Yes, we did. We went through our reserves and really even at the last minute, we added some reserves. Total reserve was about $10 million for the quarter.
Celeste Brown – Morgan Stanley: $10 million more than normal or –?
Kenneth Kay: $10 million. I mean, we’re just ramping up our credit right now as we speak and $10 million was by far, the highest we’ve done so far. It’s starting to reflect the volumes that we’re seeing here, particularly in the directed play.
Celeste Brown – Morgan Stanley: Okay, thanks. And, sorry, just to come back to the covenant in the US. Does that include all of the cash at the parent, at 6.9 times?
Brad Stone: It doesn’t include all of the cash. It includes some of it. What we contributed down at December 31 for the net debt test.
Celeste Brown – Morgan Stanley: Okay. But if needed, could you contribute more cash down?
Brad Stone: Yes.
Celeste Brown – Morgan Stanley: Okay. Thank you.
Operator: Your next question is from the line of Steven Kent with Goldman Sachs.
Steven Kent – Goldman Sachs: Hi. A couple of things. One, could you just talk about, Steve, when mentioned on his call that he was going to try and move prices up a little bit in February. I know it’s obviously early, it’s only been a few weeks, but maybe you could just give us a state of how things are going in January and February? I think that would just be helpful. And also, your cost saves of the $250 million or so, how much of that occurred in the fourth quarter and that’s the run rate, but how should we think about it ramping up throughout the year?
Brad Stone: Yes, Ken, let me address the cost save. With regard to the $250 million, in 2008, we realized about $100 million of that.
Steven Kent – Goldman Sachs: In run rate count at the end of fourth quarter.
Brad Stone: That’s would be actually realized.
Steven Kent – Goldman Sachs: Actual realized, okay.
Brad Stone: And of that $100 million, about $45 million of that would’ve been realized in the fourth quarter. So, if you annualize that $45 million, you get to about $180 million of the $250 million that have been identified and executed on, with about $70 million more to go to get to the $250 million. And of that $70 million more, I would say more than two-thirds of that has probably been identified and will be implemented in the next couple of months, with the balance remaining over the rest of the quarter. And so, that would take you to about $150 million of additional realized savings for 2009, over and above what we had realized in 2008, that $100 million to get to the full $250 million.
Steven Kent – Goldman Sachs: And maybe, just staying on that for a second, other companies have come up with cost savings program, and then even one quarter later, they found more cost saves. It sounds like you’re going down that path, but you’ve been at, at you said, you’ve had experienced it for 30 years, is that you’ve only been there few months, but are you starting to see that? Do you start to see even more than what we’re talking about today?
Kenneth Kay: Well, we’re working as a team on this. It’s not just my efforts over a couple of month period of time and collectively, as a team, we’re very focused in our cost reduction as a whole so our efforts in that regards will continue. And as we make more progress on that in the coming months, we will update you on that.
Steven Kent – Goldman Sachs: And then, Bill or Brad, could just give us a sense for what you’re seeing just the past month and a half or so.
Brad Stone: Well, in Macao, we look at Chinese New Year and we’re down slightly on a year-to-year basis in terms of volumes, so we’re seeing a fairly steady business here. The group business is going to be very challenging in Macao this year, so we’re continuing to look at our resource such as our rooms and putting them into, similarly what we’re doing in Vegas, supplying more rooms again for the gaming market to drive gaming revenues. I will also be going to the wholesale market as well. You know, it would be interesting to see post-Chinese New Year, and how things progress. I mean, we can see a very short term on the hotel side, so the visibility is going to really be dependent upon really what happens on the next couple of months. But I think the important point for our properties is, one, we see the ability to ramp-up of the Four Seasons property and we think that property will ramp-up very well over the next several quarters as we launch the marketing initiatives against that. At the Venetian, we remained somewhat insulated, certainly, from the VIP business and that business, right now, is very competitive. I think there’s going to be significant liquidity issues over here in Asia with the junket reps, that’s why we talk about going after directive play and still being cautious in terms of credit issuance, because there will be less money available, we believe, in the marketplace for that particular customer. So we’re going to try and manage our way as best we can, as we always have, against that lower margin segment of our business. Fortunately, both the Sands, in terms of its location advantage and certainly Venetian, in terms of the type of asset it is, at least has the mass market, and we see some really, obviously, good growth on our slots side of the business and some reasonable stabilization on the mass side. So we’re going to count on our core businesses, the mass play, the basic hotel product and other ad player revenue centers such as retail to inflate us from the very challenging competitive environment on the VIP, and a lot is just going to depend on whether visitations stays up here in Macao and how the economy gets affected here. That’s why I say Macao.
Stephen Weaver: Brad, it’s probably also with, maybe worth mentioning that –
Brad Stone: Good, Stephen is here.
Stephen Weaver: Maybe worth mentioning that the ideas and restrictions here in Macao restrict the travel for individual visitors. And what we’ve seen is that there is an increase in group visitation, people coming on tours, and based on our growth in visitation over the Chinese New Year period as compared to visitation being down from mainland China, generally, and to Macao. It seems that we’re benefiting more than others from that growth into group visitation, and we continue to enjoy strong visitation at the Venetian, obviously, still impacted as Bill mentioned earlier by smaller spin per visitor.
Brad Stone: Our visitation numbers that I think we have there, as for the Sands and the Venetian are up about 15% year-over-year for what we consider the Chinese – we actually did announced that 14 days before Chinese New Year, 40 days after, year-over-year and our visitations grew up 15% during those time periods.
Steven Kent – Goldman Sachs: Okay, great. And then, any color on Las Vegas, Bill?
Rob Goldstein: Steve, it’s Rob Goldstein, I don’t know. I didn’t here the comment on what you said that the Windsor said they’ll raise prices, I didn’t hear the comment.
Steven Kent – Goldman Sachs: Yes, I mean, I send to receive Windsor that he was going to try to push rate a little bit higher.
Rob Goldstein: When? I didn’t know that. First, we welcome any rate increases by anybody of our neighbors because they’ve been – in the offers or – you will read the offers as you see the marketplace, I think the only segment there is opportunity to raise prices right now from our perspective would be in the group segment, because that’s still – it’s opportunistic, relative to the FIT wholesale. The problem is would be raising prices will – in the FIT wholesale, it’s truly a competitive market right now, and I welcome any of our neighbors to raise prices. I don’t see it happening. And if – until this does happen as a segment, it can’t happen with individual property. So, right now, our opportunity in this first quarter in the group segment to raise or to better pricing, relative to other segments. The FIT wholesale market is extremely competitive in Las Vegas right now.
Steven Kent – Goldman Sachs: Okay, thank you.
Operator: Your next question is from the line of Larry Klatzkin with Jeffries.
Larry Klatzkin – Jefferies: Hey, guys. A couple of question, one, Steve for the co-op sales, what price per foot are you targeting? Can you give us that?
Stephen Weaver: We’re still on the expressions of interest that we’ve received North of 1,700 US a foot.
Larry Klatzkin – Jefferies: Really? Okay. Is it true that one essential has had some falling impression?
Stephen Weaver: Based on reports and certainly our intelligence in the market, ordinary residential product is very soft and so this, and I think as I mentioned earlier, there is definitely softness in the market. I think what we are seeing is that in the target group that we’re addressing here, primarily, almost exclusively Japanese and Korean, they’re seeing our product as being a completely unique offering and I don’t think they’re comparing it to any other normal residential first time product.
Larry Klatzkin – Jefferies: All right, that’s it. That’s a great place. Brad, the property budget, can you tell me the budget for what you’re coming in for in Bethlehem and what the timing of that would be, and maybe also just timing of CapEx, Ken, for maybe first quarter versus the rest of the year?
Brad Stone: Well, the primary cost in Bethlehem is about $750 million, I believe right now. I don’t have that number in front of me, but downscale from the roughly $900 million, and that’s the deferral of the hotel product and the retail product in Bethlehem. And that product, again, is – we have reserved dates with the Pennsylvania Gaming Control Board for the – around the 22, 23 of May to tell them our properties, so that’s our goal to get that property open at that point in time.
Larry Klatzkin – Jefferies: And then, how about CapEx for first quarter’s spending on everything versus the rest of the year?
Brad Stone: Ken, you have that number there?
Kenneth Kay: First quarter is approximately $750 million.
Larry Klatzkin – Jefferies: Okay. And the full-year CapEx, did you have a number like that or is it just too early to give us something for that?
Brad Stone: Yes, it’s still a little bit early on that. We’re still working through the balance of the year.
Larry Klatzkin – Jefferies: All right, all right. And then, as far as – I guess, the best thing to say is give up on the commission caps or is that not a dead issue, Bill?
William Weidner: It’s not a dead issue. We’re operating as if it is, but we’re told that there’s legislations are moving through the (inaudible), so we’re expecting the worst, hoping for the best and operating as if it’s not going to change.
Larry Klatzkin – Jefferies: Okay. And then, the one issue, the way that the Congress is going with comments about Vegas boondoggle and stuff like that, is there something that they’d be assuming that? I know I’ve seen more than just you guys. I know some of the win Executives made a comment this morning, but anything about trying to point out that the Vegas is a cheap place to go and try to get that fending people to Vegas, as a way to save money and not a way to do a boondoggle?
Brad Stone: I think that Larry draw it – well, you’ve – comment were right on this morning. He’s right. This place is a wonderful opportunity if it’s priced effectively. It’s still your position in Las Vegas a boondoggle since it’s a preeminent meeting placed in the country today for business. It’s an unfortunate to state people make that comment. I think that we’re – the industry to get together in this, especially, among different properties and different hotels about doing just that had a unified response. Because, clearly, it’s just not reality and it’s one of the places to do business as it has been. And we will – we second – though in the end you said, I think, it’s obvious that this is going to be a lead leader in the future in business, and we will deal with it as industry.
Larry Klatzkin – Jefferies: Alright.
William Weidner: Plenty of communication with how we read on this part of the country we’re talking about. Let’s try to help rather than hurt your home country here.
Larry Klatzkin – Jefferies: Okay, that’s good. Guys, could you just get over the option grants that came out yesterday? I assume that – it means, looking at a happy team who’s going to be staying for some long period of time?
William Weidner:
-:
Larry Klatzkin: Good, nice. It’s all we can ask for. And, I guess, Ken, the covenant in 7.5 times, how does that ramp for the year? Does that ramp down throughout the year?
Jefferies: Good, nice. It’s all we can ask for. And, I guess, Ken, the covenant in 7.5 times, how does that ramp for the year? Does that ramp down throughout the year?
Kenneth Kay: Yes. The first quarter goes to seven, stayed that way through the second quarter, then ramped to 6.5 in Q3 and stayed that way throughout the year.
Rob Goldstein: 50 BPs in each market, Larry, every six months.
Larry Klatzkin: Okay, okay. So, the same for the – the Macao goes to 3.5 by the end of the year?
Jefferies: Okay, okay. So, the same for the – the Macao goes to 3.5 by the end of the year?
Rob Goldstein: Yes.
Larry Klatzkin: Okay. Alright. And then for the September covenant, you anticipate, obviously, if you’re selling asset, there’s all this – it’s no problem at all, but any other ways to shore that up? Would you buy bonds at a discount to book some additional EBITDA to help that?
Jefferies: Okay. Alright. And then for the September covenant, you anticipate, obviously, if you’re selling asset, there’s all this – it’s no problem at all, but any other ways to shore that up? Would you buy bonds at a discount to book some additional EBITDA to help that?
William Weidner: Most assuredly, all of those possibilities are on the table and we’ve had in-depth discussions, and I call it in the process of trying to make wave for those possibilities.
Larry Klatzkin: Alright. Well, thank you, guys.
Jefferies: Alright. Well, thank you, guys.
William Weidner: Okay, Larry.
Operator: Your next question is from the line of Robin Farley with UBS.
Robin Farley – UBS: Great, thanks. I wanted to clarify a couple of things. On the last call, you talked about the cost of suspending sites five and six, being $880 million spread between starting in Q4 of last year going through Q2 of 2010. I was wondering you could clarify, I guess, is the suspension, is it still temporary at this point or are you considering it as indefinite suspension? And then, if so, how much of that $880 million have you spent and how much more is there to go? And if the $880 million go up if, in fact, it’s now on an indefinite suspension.
Kenneth Kay: Well, the $880 million we talked about was for the worst case scenario called the termination. The way our contracts work over here, we had six months to go through a suspension, see if financial markets change, etc. Obviously, we’re about three months into that suspension and there’s a likelihood that they’ll either go with termination or negotiate additional suspension periods with their contractors, but the $880 million was a worst case scenario. It’s our belief now, Matthew and I met this week, that we can probably do better than that $880 million under a worst case scenario and the money in that worst case scenario goes out for a fairly long period time beyond what I would consider advent horizon related to some of the challenges we have from a liquidity right now. So, summation is we’re moving towards, at least, hitting that point where we have to determine the termination or additional suspension. The $880 million that we talked about was worse case. We think we’re going to do reasonably better than that. The amount spent to date is probably, I’m going to guess, in the range of –
Rob Goldstein: $350 million.
Kenneth Kay: $350 million of that. Again, a large of that $880 million that we spent initially was just current payables, paying for work that was already put in place. So, we’re mindful of that being an opportunity to manage through, creating additional liquidity in less strain, and I guess at this point in time, it’s our belief that we’ll – under our worst case scenario, we’ll do better by a reasonable amount than that $880 million.
Robin Farley – UBS: Okay, great. And then on the ferry service, it looks like that’s been very beneficial to the Venetian Macao property and it looks like a loss of $4 million in the quarter, I guess, just to get a sense of the real full expense there, that $4 million loss in the quarter? I’m assuming that some percent or a large percent of the tickets are comp in one form or another. Does that expense of a comp ticket actually show up at the property operating expense rather than at the ferry service level?
Brad Stone: Yes, the ferry service, we charge – it’s in a different company and we charge those cost back to the properties. There’s an allocation process. Although the cost is somewhat discounted from the face value retail cost, so the properties get charged for the usage on a discounted basis and the ferry company subsidiary receives a revenue on that discounted basis.
Stephen Weaver: The discount that Brad talks about, really, we charge the casino business a fare that is at or slightly above the fare we sell wholesale tickets to have a license, for example, so it’s a market-driven process, I’d say. The other, I guess, important notes on the ferry is that we’re ramping up the frequency of service and getting high utilization over their ferries, and we expect, with City of Dreams coming on the stream at the middle of the year, that there will be more tickets sold as more visitors choose the Cotai Strip as their primary destination here. We’re also benefited by lower fuel costs, so our run rate costs are actually reducing in that business.
Brad Stone: No future hedges?
Stephen Weaver: No hedges.
Robin Farley – UBS: And actually, can you just give us a ballpark then of what amount is charged to the property for – in view of the last quarter, what was charged in the property for ferry tickets?
Brad Stone: Yes, we can give you that.
Kenneth Kay: Okay.
Brad Stone: We actually have that number some place here, Robin.
Robin Farley – UBS: Okay, great. (inaudible)
Brad Stone: What does it say?
Rob Goldstein: About $12 million.
Brad Stone: About $12 million.
Robin Farley – UBS: Okay, great. And then the last question is there may be more progress than Bill [ph] came up that closed at the start of the call, but it looked like there was a charge of about $38 million related to marketing activities in Asia, some kind of a write-down for a marketing activity in Asia. Can you just put a little more color on what that was?
Ed Feiner: Really, the write-down of investments that we’ve made within Asia that were geared towards additional business development activities, and so we decided just the end of the year to really take the valuation reserved against those investments.
Robin Farley – UBS: I’m sorry, Ed, your response was just cutting out a bit there. It was difficult to hear.
Ed Feiner: What I’m saying is we had made certain investments with regard to business development activities within Asia, and then at the end of the year, in assessing those, we decided taking a valuation reserve against those investments that were primarily geared towards business development activities.
William Weidner: For example, Hengqin Island is one example of that.
Robin Farley – UBS: Okay. Is most of that $38 million mentioned, is that the biggest piece of that or was it closing marketing or (inaudible)?
William Weidner: It’s a purchase of a building that was going to be one of our development activities in Beijing. Beijing shop property market is down, so it took a charge against the resale of that; our decision to dispose of that asset, for example.
Robin Farley – UBS: All right, great. Thank you.
Operator: You have a follow-up question from the line of Celeste Brown with Morgan Stanley.
Celeste Brown – Morgan Stanley: Hi, guys. Sorry, let me take the mike. Is that better? Sorry to be the dead horse, but coming back to the US covenants, first, did you use another cure in the fourth quarter?
Brad Stone: No. Celeste, we didn’t use the cure in the fourth quarter. We’d only use that in the third and we have been clearly about our intention to use the cure every other quarter, so that we’ll have $100 million of incremental EBITDA for the calculation. And just to clarify, at the fourth quarter, with out the cure, we had $431 million of calculated run rate EBITDA for the tax. With another $50 million from the cure in the third quarter, that gets you up to $481 million of EBITDA run rate for the fourth quarter in the United States and we did contribute down about $2.2 billion of cash. So, of the $3.1 billion or around $3 billion in cash that we’ve done on the balance sheet, we did have $2.2 billion of that down for the calculation at the fourth quarter.
Celeste Brown – Morgan Stanley: Okay, great. Thanks a lot.
Brad Stone: And if you run through all those numbers, you’ll get to a 6.2 cash versus a 7.5 or 6.2 performance to get the 7.5 net.
Celeste Brown – Morgan Stanley: Not the 6.9?
William Weidner: I went back and looked through it. It’s 6.2. I was using a 6.9, it was before some of the cash have been pushed down, so I think 6.2 are more accurate.
Celeste Brown – Morgan Stanley: Okay, great. Thank you so much for clarifying that.
Operator: Your next question is from the line of Bill Lerner with Deutsche Bank.
Bill Lerner – Deutsche Bank: Thanks, guys. Hey, I just have one question. Larry asked all 16 of my back-up questions, so just one follow up really on the – just kidding, Larry. To follow up on Celeste’s covenant questions, so obviously, it’s the way up in the room, and with cash flow declining in Vegas, no visibility or not much visibility, and tightening covenants going forward. When you use the cure, when you contribute Pennsylvania, obviously, there’s still, I think, going to be some risk that you’ll reach this calendar year. So, I mean, can you guys color in the source of some of the ammunition that you have beyond the cure and contribute in Pennsylvania? I mean, you talked about the sale of an asset in Macao and we understand that you only bring back 25% of the proceeds of that to pay US debt, so if you could a little bit about that, then maybe there’s a covenant relief to some degree as an option, if it is? Maybe, there’s an opportunity, although I hope not, to raise capital going forward. And I don’t know if Sheldon’s on the line, you may want to contribute to this.
William Weidner: Well, first of all, we run a bunch of our models and a bunch of our downside cases and looked at operating performance and are seeking other ways of reducing cost available to them, create and development covenants. Yes, if we sell assets in Macao, depending upon the category of assets, 75% of those go to pay down Macao debt; 25% of those would then pay it back that parent has to Macao. So, in essence, all of that de-levers Macao a little, although some of it goes back to parent by de-levering Macao. It also opens some baskets, so there are other advantages, shall we say, to the lowering of debt there in Macao, so it’s not simply the 25%. It just also creates some flexibility for us also. But there are other asset classes there in Macao to explore. So we’re exploring our every opportunity and option for creating liquidity and focusing further on reduction of costs here. Again, we’re mindful of the squeeze as the step-down takes place and mindful of what’s required here in terms of the multiples as it relates to our covenants.
Bill Lerner – Deutsche Bank: Okay. Is Sheldon on the line as well?
William Weidner: No, he was in and out. He was on earlier. He may have dropped off at this point.
Bill Lerner – Deutsche Bank: Thanks, guys.
Operator: Ladies and gentlemen, we have reached the end of the allotted time period for questions. Mr. Weidner, do you have any closing remarks?
William Weidner: Just some quick closing remarks. I mean, again, we appreciate the exchange and we appreciate the questions. There is no doubt that we know exactly what it is we have to do and we’re focused on doing that. We’re not that naïve about the environment that we’re in. We recognize what it means to us and what it means to the company and what it is that we have to do. And all of us are focused that whether it be in Macao or here in Las Vegas on what has to be done and we’re dedicated to doing it. And with that we appreciate your attention on the call and look forward to the next quarters call and update you on the progress and several things that were laid out to you today. Thanks again and have a good day.